Operator: Good day, ladies and gentlemen. Welcome to Noah Holdings Limited Second Quarter 2019 Financial Results Conference Call. At this time, all participants are in listen-only mode. Following management’s prepared remarks, there will be a Q&A session. [Operator Instructions] As a reminder, this conference is being recorded. After the U.S. market closed on Wednesday, Noah issued a press release announcing its second quarter 2019 financial results, which is available on the company's IR website at http://ir.noahgroup.com. This call is also being webcast live and will be available for replay purposes on the company's website. I would like to call your attention to the Safe Harbor statements in connection with today's call. The company will make forward-looking statements, including those with respect to future operating results and expansion of its business. Please refer to the risk factors inherent in the company's businesses and that may have been filed with the SEC. Actual results may differ materially from any forward-looking statements that company makes today. Noah Holdings Limited does not undertake any obligation to update any forward-looking statements as a result of new information, future events or otherwise, except as required under the applicable law. The results announced today are unaudited and subject to adjustments in connection with the completion of the company's audit. Additionally, certain non-GAAP measures will be used in our financial discussion. A reconciliation of GAAP and non-GAAP financial results can be found in the earnings press release posted on the company's website. Today, the call will be hosted by Wang Jingbo, Chairlady and CEO, Mr. Zhao Yi, Group President, Shang Chuang, CFO and Grant Pan, Group Deputy CFO of Gopher Management Partner. With that, I would like to hand the call over to Mr. Zhao Yi, Noah Group’s President.
Yi Zhao: [Foreign Language] Thank you, operator. For today’s agenda, I will first briefly summarize Noah’s overall performance for the second quarter and the first half of 2019 as well as the divestment of our segment. Chairlady Wang will then provide her current views on the company product and strategies and updates on the Camsing incident. Our CFO Shang will then follow with a detailed discussion of Noah’s second quarter financial performance. We will conclude the call with question-and-answer session. [Foreign Language] Now I would like to share with you the financial and operating results we have achieved. [Foreign Language] In the first half of 2019, Noah generated net revenues of RMB1.76 billion up 3.2% year-over-year and non-GAAP net income of RMB570 million up 13.2% year-over-year. In terms of profit margins, non-GAAP net margin in the first half of 2019 reached 32.2% up 140 basis points year-over-year maintaining at a healthy level. [Foreign Language] By business segments, we distributed RMB52.4 billion worth of total products in the first half of 2019 for our wealth management segment. Although the transaction value in the first half of the year fell by 7.8% year-over-year, product mix and the product strategy evolution have achieved the initial positive results with a significant increase of standardized products. Specifically, in the second quarter, the distribution of standard products such as bank bonds and mutual funds increased 89.7% quarter-over-quarter as of the end of the second quarter, the number of relationship managers was 1,428 74.5% year-over-year, while the number of Elite Relationship Manager increased by 20.8% demonstrating further optimized structure. The turnover rate of Elite relationship managers maintain at a low level of 1.4% with respect to the clients in the second quarter, the number of active clients increased by 31.9% year-over-year with accumulation of clients investments with us. The number of clients at all asset level increased particularly the number of bank card clients. Our top tier clients with at least RMB50 million assets advised by us were rapidly up by 17.9% year-over-year indicating the continuous trust ultra high net worth clients having on. [Foreign Language] Our value added service drew attention in the second quarter the insurance business grow by over 100% year-over-year, extending global insurance planning service to more than 1500 clients. In the first half of this year, the number of newly established family trust increased by 340% year-over-year providing comprehensive protection of high net worth clients in terms of risk management, wealth planning and asset inheritance. Noah will continue to provide a comprehensive value added service to meet the needs of high net worth clients. [Foreign Language] In terms of the asset management segment, the AUM in the second quarter increased by 12% year-over-year, reaching RMB180.8 billion. Specifically, the AUM of private equity real estate, public securities and multi-strategy funds increased by 11.2%, 9.1%, 90.7% and 93.2% year-over-year respectively. Reflecting the continuous improvement of Gopher’s ability in liquidity management and asset allocation. Taking breakthroughs in active management capabilities, it is also worth mentioning that by the end of second quarter, the total AUM of RMB and U.S. dollar denominated bond funds exceeded RMB3.8 billion, up by 2.2 times quarter-over-quarter. Going forward bond funds will gradually replace private credit products to meet clients strategies for fixed income investments. [Foreign Language] In June Gopher hosted the Annual LP Conference and the PE summit that attracted over 2000 investors and doesn't affect the funds managers. In July, Noah’s first ever Overseas Investor Summit and the fourth investment communication meeting was successfully held in Hong Kong attracting over 500 clients was overseas products distributed by Noah. A comprehensive review of existing bonds and exchange of investment concepts against the backdrop of the domestic macroeconomic and the global geopolitical uncertainties have led a closer relationship between global investors and us. [Foreign Language] Lending and other business segments continue to grow steadily. In the first half of the year, the principal amount of new loans originated totaled RMB5.3 billion relatively flat from the same period of 2018 as part of the comprehensive solutions for high net worth clients, we will continue to grow this segment in accordance with clients needs and improve our core competitive edge through technology and the Big Data risk control. [Foreign Language] We are also happy to see that our overseas business maintaining great momentum. In the second quarter, the total revenues of our overseas business reached RMB230 million accounting for 26.6% of the Group's net revenues with revenues from Hong Kong business up by 20% year-over-year. As of the end of the second quarter, the overseas AUM reached RMB25.5 billion, up 14.6% year-over-year. Our Canadian office also successfully obtained due license to operate as a portfolio manager and exempted market dealer issued by two Canadian provinces, marking the global recommendations of Noah’s compliance and a key step in our overseas expansion. Looking ahead, Noah will continue to adhere to the compliance principles, maintain close contact with regulators of oversea markets to further strengthen our capabilities of global asset allocation for overseas institutions and individual investors. [Foreign Language] Now I would like to talk about what we have to enhance our operational efficiency, during where we have achieved in the last quarter in the second quarter. [Foreign Language] In order to further optimize the organizational structure, we continue to upgrade the structure of regional service centers, merging small ones to streamline in inefficient use of personnel and improved productivity and of relationship managers. Gopher’s organizational structure was also improved with per capita AUM of investment seems up by 22.6% quarter-over-quarter. At the group level, we continue to view and strengthen our professional team to uphold theelite culture. [Foreign Language] We continue to invest heavily in technology in the second quarter, the dual recording system for client screening was put in operation and within the same quarter, 76% of all transaction approved were conducted online while the rest were done in conventional way. The new technology not only meets the compliance requirements but also which will improve the clients experience comparing to the land process in the old days. The international version of our planned relationship management and our core business system have been launched recently which promotes overseas compliance capacity together with that. [Foreign Language] Moreover in the second quarter, we announced the new mutual fund app called FundSmart, this application emerge as public and private fund account system. So that user experience upgrades and investment monitor becomes much easier for our clients. Meanwhile the system will automatically recommend the fund and the rebalance according to the users risk or appetite and current asset making the asset allocation service more intelligent. [Foreign Language] In the second quarter, we also strived to the list that needs operational efficiency and effectiveness through the following. First, top 10 key operating metrics for business segments, two possibly performance rental and monitoring, three possibly business reviews, four renting and grouping of business units, five value creation of key positions and et cetera. [Foreign Language] We’re also delighted to share some good news with you. We won several major international awards including Wealth Management Firm of the Year and Better wealth Manager for Fund of Funds in China by Asiamoney in 2019 as well as Best Boutique Wealth Manager in Mainland, China by the assets. Moreover, Noah is the only independent wealth manager in the Mainland that has been listed in the three awards list of the assets. We will stay true to our mission and strive to become the leading wealth management brand for global Chinese community. [Foreign Language] Looking forward, Noah will continue to focus on the fundamentals and proactively manage challenge and opportunities by focusing on overseas and the strengthening risk control. We endeavor to provide our clients with various and high quality products and services. [Foreign Language] With that, I would like to turn the call over to Noah’s Chair Lady and CEO, Ms. Wang Jingbo.
Jingbo Wang: [Foreign Language] Thank you, Zhao Yi. The most significant macro-economic risk that China is currently facing are Sino-U.S. trade relations externally and the debt burden domestically. The key cause of debt reform in China are to dismantle implicit guarantees and promote financial supply side reforms. As these reforms are gradually implemented, they are profoundly affecting Noah’s core wealth management and asset management businesses. As we have observed previously, China’s wealth management and asset management industries have encountered some structural contradiction. First, implicit guarantees have seriously distorted the market oriented development in China. Without the elimination of implicit guarantees, it is difficult to sell the bad money drives out good money problem. Second, more and more financial consumers suffered losses amidst removal of implicit guarantees in the future industry which cause tremendous pressure on the government to maintain social stability and created uncertainties with respect to regulatory policies and orientation, third the size of assets held by China’s high net worth clients has been rapidly increasing but we’re seeing clients developing more conservative expectations as a result of China’s accelerated economic downturn. We believe it will take some time for portfolio and based products to be fully accepted by clients. [Foreign Language] Fortunately for the past 15 years since Noah started this business in 2005, based on our understanding of the industries, we have never been involved in any capital full businesses, products either distributed by Noah or actively managed by Gopher are all operated independently of each other and held in escrow by third-party and reputable custodian banks or institutions without any duration mismatch, highly leveraged financing, or implicit guarantee et cetera. Therefore, Noah has been able to stay away from pervasive risks that were spread over different products or asset classes even during several rounds of economic downturns or facing various financing risks. [Foreign Language] Next I would like to share with you some updates on our major products and strategies in the second quarter. In the second quarter of 2019, transaction value of Noah’s private equity products amounted at RMB7.66 billion increasing 22% year-over-year and 475% quarter-over-quarter. As of the end of the second quarter, AUM of Gopher’s private equity funds has reached RMB104.4 billion, up 11% year-over-year, and accounting for 58% of the total assets under management. Among all projects invested by Gopher’s private equity funds, 196 companies have gone public in domestic and overseas capital markets. In 2019 alone 18 Gopher invested companies have completed IPOs. Meanwhile, Noah and Gopher have also benefited from the commencement of the Sci-Tech Innovation Board, which was officially launched in July. Among all enterprises that have been listed on the board or approved by the CSIC, Gopher has indirectly invested in eight of them. With further development of China's capital markets and expanded options for exits, more unicorns and emerging industry companies are expected to go public and bring investment income to clients. [Foreign Language] For public security products, in the second quarter the transaction value maintained a good momentum rising over RMB6 billion up 88% quarter-over-quarter. Noah and Gopher continue to put more efforts in developing standardized products, adhering to the comprehensive asset allocation strategy in a volatile market environment. We're also strengthening our in-house research risk controls and credit rating teams providing relatively low volatility and absolute returns to high net worth clients is long-term goal of our fund managers. The bond funds launched by Gopher in 2019 grew rapidly. By the end of the second quarter, the AUM has exceeded RMB3 billion. Developing standardized products will be one of Noah’s core strategy going forward. We will proactively trim down our private credit products under management and focus on meeting clients demands for fixed income products with funds. [Foreign Language] In the first half of 2019, the investment return of Gopher managed secondary markets on the fund and MOM flagship funds both exceeded 10% specifically the flagship MOM funds has realized a positive return of 16.21% while quantitative FOF yielded a positive return of 7.86% and maintain a low volatility rate of 3.81%. Gopher’s offshore secondary market strategy is similar to onshore and has also achieved good returns. Since its inception in August 2013 to the first half of 2019, Gopher offshore China's selected FOF has achieved an APR of 13% outperforming MSCI China and CSI 300 Index to a large extent. For the second quarter, the AUM of our U.S. dollar denominated bond funds reached a balance of over RMB500 million and increased by 3.67 times comparing with the previous quarter. [Foreign Language] For the real estate funds, we will continue to expand and focus on multi-project based preferred share funds and core asset acquisition funds. As of the end of the second quarter of 2019, the AUM of Gopher’s real estate preferred share funds have exceeded RMB7 billion and the total AUM of real estate investments reached RMB19.2 billion up 9% year-over-year, Among the real estate projects actively managed by Gopher, 114 projects have matured, including 25 equity projects, with an average IRR of 16.47%. Nearly 70% of equity based funds achieved a 10% IRR or higher. Gopher’s discretionary multi-strategy funds and family offices have also attracted more attention from ultra high net worth clients. By the end of the second quarter of 2019, the AUM of multi-strategy investments reached RMB8.5 billion significantly up 92% year-over-year. In addition, Gopher is currently running about 10 family offices to meet the personalized needs of ultra high net worth clients and also actively engaging with several other potential clients. [Foreign Language] Next, I would like to provide a brief update on the current situation and progress of the Camsing incident. At present, we understand that a criminal investigation by the public security organization in China is still ongoing. According to the media reports, the police have arrested a number of suspects with suspected fraudulent activities. The Camsing incident appears to be a carefully planned fraud, involving many large e-commerce platforms and financial institutions. Gopher and our clients are among the victims of this suspected fraud. We proactively reported to the police after discovering the problem to protect our clients and shareholders. We take this matter very seriously and pride ourselves on operating our business with integrity and ethics and consider protecting the security of our clients assets as our top priority. At the same time, we continue to offer full cooperation to the government investigation looking into this matter. [Foreign Language] The product in cooperation with Camsing namely the (inaudible) core enterprise private funds managed by Gopher mainly provided supply chain financing involving third-party companies related to Camsing International Holding Limited in connection with accounts receivable between such companies and Beijing Jingdong Century Trading Company Limited. Since 2016, Gopher has been conducting due diligence and risk management measures with respected -- with respect to the loans in the applicable counterparties. Up to now we have submitted detailed evidences to the public security organization and filed several lawsuits to the Shanghai Financial Court demanding JD.com to assume the debt repayment obligations and for Camsing routines and other parties to assume joint guarantee obligations. The Civil Lawsuit has been accepted by the court and we're waiting for the trial to commence. At the same time, we're also actively seeking to preserve relevant assets, including but not limited to freezing bank accounts, increasing stock pledges and stock freezes and tying up other physical assets, among other things. At this time, both the criminal investigation and civil cases are ongoing and it is premature to assess the recovery rate of fund assets. To reiterate Gopher take the fiduciary duty of the fund manager with the utmost seriousness and remains 100% focused on achieving the best possible results towards the clients who invested in the effective credit funds, honoring the trust and confidence from our clients and shareholders. In addition to assisting the judicial authorities in their investigations, we also continue to cooperate and communicate with regulators. At present, both the regulators and Noah are waiting for the results of the criminal and civil lawsuits as well as further clarification of the incident. After the incident, the S&P rating team re-conducted due diligence on Noah based on current available information, and reaffirmed that our corporate credit rating maintains at investment grade. In terms of client communication, we issued announcements to respective clients on June 24 and July 8, to inform that we are extending the redemption date for an additional six months to one year in accordance with upon contract and we will continue to communicate with affected clients as the situation develop. According to our data, we estimate that their investment in the affected credit funds account for about 20% of their total assets and Noah on average. [Foreign Language]  We’re also conducting an internal review on this incident. Up to now no similar risks were identified in other existing products and the product specific risk of Camsing related funds will not affect other products previously distributed by us. To reassure clients from June 18 to July 31, 2019, Noah distributed RMB10.8 billion of investment principal and profits to more than 6,800 domestic and overseas clients, of which over 40% were redeemed prior to the contractual date upon agreements with the counterparty. During the same period, almost 2,000 clients who chose to purchase our products and services and invested over RMB7 billion with Noah, notably near 10% of clients affected by the Camsing incidents have placed new orders at Noah, we're very pleased to see the gradual recovery of client confidence. [Foreign Language] In the past 15 years, Noah has cumulatively distributed over RMB700 billion worth of financial products and the AUM managed by Gopher has exceeded RMB180 billion. The total principal amount of the loan extended by the credit fund to Camsing related parties accounts for less than 2% of Gopher’s AUM. However the Camsing incident has affected our clients, shareholders as well as Noah’s reputation and I’m deeply disappointed to see this situation as a member of senior management and the leader of the company. Meanwhile, I want to reassure that we will continue to use best efforts to protect and promote the interest of our clients. At present, our firm is committed to comprehensively promoting business and product transformation while embracing financial supplies side reforms promoted by regulators. We will continue to provide comprehensive asset allocation basis to clients and select net based product portfolio products as the only choice. The strategic transformation from private credit funds to bond funds from product driven to comprehensive service driven strategy and from increasing transaction value to enhancing investment capabilities of active management is our future direction. Finally, I would like to address that Noah will always trust common sense, respect the market and sticks to its fundamental mission. With the passage of time, I believe that Noah’s resilience as well as better market will show. Through the experience and handling of this incident, we believe that our team will be stronger, more effective and able to turn this bump in the road into promising opportunities. [Foreign Language] Thank you, all. Now I will turn the call to our CFO, Shang to share the second quarter financial results.
Shang Chuang: Thank you, Chairlady and hello everyone. We had a solid quarter with renewed market volatility which we believe demonstrates the resilience of our business. For the second quarter, net revenues were RMB871.6 million up 9.3% year-over-year driven by a strong increase in one-time commissions and other service fees. Non-GAAP net income was RMB263.4 million, up 6.4% year-over-year and margin was healthy at around 30%. For the first half of 2019, we realized non-GAAP net income of RMB568 million, up 13.2% over the same period last year. Our wealth management business has weaker transaction value of around RMB24.4 billion, but the overall product mix was much more diversified with private equity and Public Security contributing more than 55% of the total. Net revenues were RMB625.6 million, up 12.4% year-over-year, resulting from higher effective one-time commission rates of 1.2%. Gopher Asset Management achieved strong AUM growth. One of the most significant drivers was the segment, total assets under management was RMB180.8 billion, or $26.3 billion at the end of the second quarter up 11.9% year-over-year and 5.7% quarter-over-quarter. Net revenues of the asset management segment were RMB171.1 million, a decline of 12.5% year-over-year. As a result of lower performance based income this quarter, we think performance based income will be a key component of total revenues going forward as we continue to strengthen our investment capabilities and realize more investment gains on behalf of our clients. It is worthwhile to know that close to 60% of our total AUM has performance classes. Now turning to our lending and other businesses segments, net revenues were RMB74.9 million, up 64.1% year-over-year, making up less than 10% of total group revenue, income from operations for this segment were RMB35.2 million. Operating profit for the second quarter was RMB251.9 million, up 13.9% year-over-year. We continue to manage costs and expect additional savings to be realized in the next two quarters. Total relationship managers compensation was only up 4.4% year-over-year this quarter. Compensation for other employees increased by 17.9% as we optimize our mid and back office functions, and we expect to see the cost benefits going forward. SG&A for the quarter decreased by 13.3% as we focus on improving operating efficiencies. However, we do expect an increase in legal and other expenses related to Camsing incident. We continue to pursue action to protect the interests of affected clients and recover assets as explained by Madam Wang. Overall operating margin was 28.9% more than 100 basis points compared to the corresponding period in 2018. Moving to our balance sheet, we continue to maintain an healthy financial position and recently Standard & Poor’s reaffirmed our investment grade ratings. One of our largest assets on the balance sheet is investment alongside funds we manage, investment affiliates totaled RMB1.4 billion or $206 million at the end of the quarter. We expect this to appreciate over time and future monetization will further enhance our liquidity. Accounts receivable from Gopher managed funds increased this quarter with a strong growth in AUM. Lastly, I want to comment on our update to the 2019 forecasts. In consideration of macro-economic conditions in China, ongoing geopolitical tension, as well as expected short-term impact resulting from the Camsing incidents, we estimate the non-GAAP net income for the full-year will be in the range of RMB1 billion to RMB1.1 billion. We believe that the strength and reoccurring nature of our core businesses allows us to ensure profitability as we strategically upgrade our business for higher quality and sustainable long-term growth. With that, we are happy to open the call for questions. Thank you.
Operator: Yes, thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Martin Ma with Nomura.
Shang Chuang: Hi Martin.
Martin Ma: Hi, management. So let me first ask a question in Chinese and then will translate into English.
Shang Chuang: Okay, thank you.
Martin Ma: [Foreign Language] Thank you for taking our question. And my first question is about is about the different is about overseas strategy. We have seen that from the second quarter reports that the revenue from Mainland, China increased by only 1% but overseas business increased by 39% and we want to understand what is your future pricing in terms of overseas business expansion and what is kind of -- what is your key focus in terms of products and the clients. And the second question is about lending and other segment. We have seen that Noah organization decreased by 12.5% year-over-year but the revenue from that segment increased by 54%. So what is the main reason for that difference? Thank you.
Jingbo Wang: [Foreign Language] So I will answer question number one. So our current offshore business is primarily in Hong Kong and we have expanded in regions such as the U.S., Singapore, Canada and Australia. Over the years, we have seen very strong demand and needs from our clients in terms of global diversification and our expansion in offshore business is meeting this demand. [Foreign Language] Yes, so in terms of the product side for the offshore market is a very much more mature market and compared to emerging market and our clients are primarily overseas Chinese and the product we’re focusing on a more standardized and more established ones. [Foreign Language] And in addition, expanding Gopher’s active management capabilities and products is also a very strong focus and as mentioned earlier, we saw very good growth on this regard and we’re focusing on fund of funds business both in terms of private equity as well as public securities. [Foreign Language] Yes and I will answer the second question. So the question is regarding our lending and other businesses and yes for the second quarter, new transaction on new lending was slightly down year-over-year. But revenue was up 64% and this is due to the fact that there's quite a bit of reoccurring revenue or reoccurring service fees for the lending business because it is the servicing agent for previously originated loans that it has sold to third parties.
Operator: Okay, thank you. And the next question comes from Katherine Lei with JPMorgan.
Shang Chuang: Hi Katherine.
Katherine Lei: Hi, Shang. I have two questions. So first question is on the overseas business because Madam Wang has mentioned Hong Kong is a key hub for your Overseas Development, with the latest developments in Hong Kong? Have you seen any slowdown in product purchase by clients in the 3Q? So this is the first thing, second thing is surrounding the Camsing incidents. So I would like to know like because by media, so there were like the parties which were helping the investigation, I mean are being arrested there were not only the counterparties. So I would want to know like what is your assessment or the legal teams assessments on if Noah will need to resume like if Noah will have any risk of like also being held accountable to compensate part of clients loss if any in this incident? Yes, so this is my primary two questions.
Shang Chuang: Okay. If you give me a minute or two to translate for the benefit of wider team one second. [Foreign Language] So the first question is regarding our Hong Kong business in the third quarter, as mentioned earlier in my remarks, I think ongoing geopolitical tensions in lot of places is one of the risk to our business. In the third quarters for Hong Kong, we did see slower interest from clients because often times clients would visit Hong Kong office but travel has been lot subdued in the third quarter. And for the second question, Madam Wang will answer that question.
Jingbo Wang: [Foreign Language]
Shang Chuang: Yes, so the Camsing incident is still under criminal investigation, a lot of the information is kept confidential by the police authorities. So I think it’s difficult for us to really assess what will be the various outcome for the various parties involved.
Jingbo Wang: [Foreign Language]
Shang Chuang: So as mentioned, I think the police are working very hard on the overall case, we as a victim, we are assisting the investigation. But in terms of information provided to from the police to us in terms of the progress is very limited. So like a lot of research analysts on the call, we have been actively monitoring the media report to assess some of the latest updates.
Jingbo Wang: [Foreign Language]
Shang Chuang: So it has been reported on a lot of various media that the overall Camsing incident is very large scale fraud and we had been very highly concealed in terms of the misconduct and has affected a lot of large e-commerce platform as well as financial institutions. And so we are actively monitoring the various updates whether from the media or from the official authorities.
Operator: Okay, thank you. And the next question comes from George Cai with JPMorgan.
Shang Chuang: Hi George.
George Cai: Hi, Shang. Thank you for taking my question. I have two questions. The first one is regarding our wealth management sales in the third quarter. So we noted that the sales has dropped quarter-over-quarter mainly driven by the credit product. So two questions here, why is there a drop in credit products and there is a surge in public security products. Is it because of the effort of transferring some of our non-standardized credit products into the standardized one and then second, we noted a pick-up in private equity products, could you share with us more color on that and the potential outlook in the second half of 2019 and then my second question is on fee rates. So we noted that recurring fee rates in second quarter has dropped by 4% year-over-year and then if we look at the growth basis of our recurring fee rate of asset management business by adding up both the income from asset management and wealth management, the fee base seem to drop year-over-year. So could you share with us the fee rate trend going forward? Thank you very much.
Shang Chuang: Sure. Again if you give me a minute or two, I will translate your two questions for the wider team.
George Cai: Sure, thank you.
Jingbo Wang: [Foreign Language]
Shang Chuang: Yes, so now I want to comment on the first question. So I think you accurately identified, I think we have been since the beginning of this year actively transferring our private credit business into more public securities. We think that it is a better strategic decision in terms of managing and risk. So I think that is one of the reason that you saw the transaction value for public security in the second quarter to go up quite meaningfully and if we continue to implement and execute this strategy, we expect that it will continue to demonstrate good growth. At the same time, I would like to slightly comment that for public securities, on the credit side at least, for bond funds, the management fee or reoccurring fee would be slightly lower than private credit funds but we think that it is again still a better strategic decision to pursue public securities, bond fund assets, protect, better protect our clients in the current operating environment. Now in terms of private equity, yes I think overall private equity fund raising in China continues to be difficult. But I think we had some success in the second quarter because we have very strong long-term relationship with very key asset managers and this momentum we have seen it continue in the third quarter. Now on the second question is regarding the reoccurring fee, so reoccurring fee year-over-year slightly lower, this is because for the middle of last year primarily the second and third quarter, there were couple of products with higher reoccurring fee that mature. And some of the reoccurring fee was a bit more back-ended. Now the overall Gopher asset managed product, blended growth management fee is about 68 basis points, it has been fairly stable over the last two quarters. I think there are two factors that play here and you know one is as we strengthen our investment capability and do more direct investment on the private equity and real estate side, I think that will be a positive for overall blended management fee rates. But on the flip side as Madam Wang mentioned as we transfer our private credit business into public security bond fund, the management fee rate will be slightly lower. So I think it really will depend how our bond mix layout over the next one or two years. But I want to comment that achieving a blended growth management fee rate of around 67 to 68 basis points is actually a very good metric compared to other asset managers globally. Operator?
Operator: Yes, thank you. At this time, I would like to return the floor to management for any closing comments.
Shang Chuang: No closing comments, thank you everyone for attending our second quarter earnings call. Thank you very much.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.